David Guengant: Good afternoon, everyone, and welcome to Solaria 2022 Nine Months Results Webcast. My name is David Guengant, the Head of IR of Solaria. I am joined today by Arturo Diaz-Tejeiro Larranaga, our Chief Executive Officer. During this call, we will discuss our business outlook and make forward-looking statements. And these comments are based on our predictions and expectations as of today. During this presentation, we will begin with an overview of the results and the main development during this period given by our CEO, Arturo. And following this, we will move on to the Q&A session. I would like to highlight that you have to submit all your questions via the web. Thank you very much again. And I will now hand over the word to Arturo.
Arturo Larranaga: Thank you, David, and thank you to everyone joining this conference call. I hope that all of you and your families are keeping healthy and well. Of course, we -- as always, we will do a fast introduction and fast comment of our third quarter results, and then we will pass to the Q&A session. We start with a nice photo in my view, a nice photo of the substation of [indiscernible] as you know, is one of our largest projects that we are executing now, and we will comment during this call, but it's a nice photo of the [indiscernible]. We could start. As you know, we have increased significantly exponentially all the numbers of the company, as always, from revenues, EBITDA and net profit point of view. We are increasing, at the same time, our CapEx and our investments, as you know, with our construction plan is something that will happen during the next quarters and years. The growth in net profits is significant, more than 86%. We have achieved €70 million of net profit. And I think that we are in a better position than our previous estimation of profits and EBITDA. And of course, the growth of the numbers goes correctly, I could say, goes following extremely good way. And it's something that will happen next quarter Practically, this year, we are going to double numbers and nice -- gigawatts secure. This is an important new. It's the first new after a long period about new connection points. We have achieved 1.2 gigawatts of new connection points. Probably during the next weeks month, you will see news similar to this because I think that we will get close to 3 gigawatts of new connection points. It's a good new and is something that supports the future growth of the company. As you know, from growth perspective, Solaria is doing a really good job and securing new connection points for free. This is important -- for free, what does it mean is like we are not paying nothing not more than the internal work of the company and the expenses of our internal team, but we are not paying for getting these new connection points. The actual capacity secured is 13.9%, but gigawatts. But as I have explained, is something that will grow a lot during next week's month, probably before the end of this year. And in this point, we are extremely excited with the growth of the company in the next years. It's something new connection points that we will add to our actual portfolio and that we will develop and we will construct during the next 3, 4 years. Associated with these new connection points, we will give probably really good surprises to the market. And -- but it's still early to talk about this. But in next presentations, we will expand this message. Of course, as you know, we are constructing now an enormous volume of megawatts. And one, an important part of this volume was done during last month with internal finance of the company with our own resource. But finally, we have closed project finance associated with 285 megawatts that will cover this portfolio, this portfolio allocating Castilian that is under construction today. And we have closed with Sabadell Bank. He's €134 million. As always, we are covering more than our CapEx or -- and this is a good new because we are not allocating equity today in these projects. The cost -- the interest cost is more than in previous deal, as you know, because interest rate is growing. But at the same time, we go under a merchant basis. It's like here, we are going to reside merchant prices of electricity. Today, we could say that all that we have under construction is completely covered by project finance or we have associated all of our megawatts under construction with project finance. Of course, numbers, energy production, I have mentioned sales and we are growing in all the numbers, especially, obviously, in energy production, more than 60% of growth and something that will continue, as I have explained in the next quarters. And it's the same, obviously, in sales. Merchant exposure, as we have mentioned in previous calls, our view is that we will maintain merchandise exposure of 20%, 25%. Of course. Today, we are comfortable with this mix with this percentage, and we will see for the future. EBITDA, net profit that for us is critical, continues growing generation of cash, especially in the next year, I think that the generation of cash of all of these new assets that now are connected will be extremely good. And you will see in the numbers of 2023 and EBITDA net profit, as I have explained previously. Now it's growing correctly, more than 80% of growth in net profit and probably we will close this year practically doubling numbers. Operating cash flow, as always know and we have repeat and the working capital is following a rhythm of investments, but we maintain a really good cash position. We are covering, as I have explained, all of our investments with private finance -- but at the end of the day, we are covering practically 100% of all of our investment with the project finance. And we think that with new assets generating electricity, cash position of the company in 2023 will be better, and we will see strong improvements in the cash position of the company next year. But today, we have a really comfortable situation, really good financial situation inside the company and, of course -- this is important, especially in actual with actual timing in the rate and situation of the interest rates. As you know, interest rates are growing. And the company today, we have an average cost of debt of 3%, 85% fixed rate debt that is important is like no risk -- and 15% that could suffer, not that could grow or not. But the key point today is that 96% of our debt is nonrecourse debt. Why is a key point because it's something that support our continued growth because we don't depend on vans or corporate debt or refinancing process. It's like we have allocated all of our debt following project finance structure. We have allocated a long time long life time period of debt, approximately average of 18, 19 years is fixed rate, as I have explained, 85%, 3% of average cost of debt. It's like really good financial situation for the company. Especially in net financial debt versus EBITDA is improving per year, probably next year, as I have mentioned, with more cash generation from the assets is something that will improve more. And the financial -- the general financial situation of the company is extremely good. We have a lot of players that want to enter in our project finance structure. A lot of banks and the institutional investors that are extremely interested to entry with us. And I think that today in renewables in solar and especially in Solara, we leave for a really good time from a debt point of view. One of the key points of the presentation situation of our pipeline under construction, especially, I could talk about Trio, we are executing figure. We are spending strong efforts in order to advance the construction of Trio [ph]. Hopefully, in the next days, we are going to start with the connection of the first part of Trio. San Andres, as you know, is 130 megawatts. Hopefully, in the next stage, we will start and hopefully, will be connected before the end of this year, probably in 1, 2 weeks. The second part, the same. We are spending a lot of time, efforts and employees, internal employees in the construction process of Trio and I think that we are achieving really good reading of construction in Trio, but the good point is that it's altogether. We are allocating teams that works in the same area in the same side at the same time. And we are saving money, saving cost, and we are extremely efficient in the construction process. The connection part that you know that sometimes since they took part of the construction will be done in the next days will be complete. And this is one of the key points here. If you have -- if you want to -- in order to plan simple, if you have the line, if you have the substation, you are able to plug immediately the plants. The easy part is the construction of the PV plants. San Andres, as I have mentioned, will be connecting the next weeks and will be the same with Bodino we're optimistic about the rhythm of construction of the project. About the other parts, I think that is the same in the small assets that we are constructing at the same time, out of Tier 3 hoses and other parks. But I think in the February presentation, we will give full visibility about connected assets and the global situation of Solara. But we are happy when we are excited about this. I think that we have done, as I have explained, a normal effort in the construction side. And from CapEx and timing point of view, I think that we will give good news to the market. Of course, I have done a really fast introduction. And if you want, we'll be now interest in the Q&A session. 
A - David Guengant: So thank you, Arturo. Thank you to everybody. We will now open for Q&A session. And once again, thank you for your time. [Operator Instructions] The first question is coming from Fernando Garcia from RBC. First question is if could you comment on the megawatt affected by the deadline of January 2023, how many megawatt are affected and did we achieve any idea recently. Second question is regarding the merchant exposure. Can we make some more comment about our 2025 merchant exposure? And what could be our merchant exposure going forward in 2023. And the last question is from a returns point of view, how we see the returns today versus the beginning of the year, giving movement in CapEx, OpEx and financial costs. 
Arturo Larranaga: Thank you for the question. How about the deadline of January 2023, our mind is not a problem. I know that market is extremely focused on this. And I understand because there will be a lot of problems. But in my mind, for Solar is not a bit. We have announced today 150 megawatts of new environmental permits that we reside on Catalunya. For me, it's not critical because it's business as usual, but I understand that market is extremely focused on this. And this was the reason because we have announced, it's not significant in my view. In my view, we are going to accomplish. We will report or not. No, it's something that we need to decide. But as I have explained, it's not significant in our view, but we will achieve all of our pipeline, and we will pass this deadline, if you want. And next week is probably from Navara, we will receive environmental approvals next weeks or days and an important amount close to 300 megawatts. Probably Garona environmental permit will come in the next days, weeks, that is 600 megawatts, then it will come probably babies, all the pipeline of the company. Madrid is like we did our -- we made our homeworks because all of these projects, they have passed a strong and took test from regional authorities. Even government has studied this project before we have answered a lot of questions about these projects from environmental point of view. It's like the work works done. It's not significant for us that we are going to obtain. In my mind, it's not we don't have risk in this point. As you know, today, we have more than 2 gigawatts in the central government, especially the projects that I have mentioned, ViaVitiosa, Garona, and you will see results in the short term, as I have explained, we have in local authorities, not local, regional governments. We are awaiting answers at the same time. Navara, for example, or Catalunya it will come in next stage. My comment and I think that the deadline of January 2023, I think that government should move is something that the people that have done homeworks we are going to accomplish. And I think that it's a reasonable time line. And about merchant exposure. As I have mentioned, 2025 is a good mix. We will see the evolution of price of electricity and the situation. As you know, in a few days, we will arrange -- we will have a tender process of the Spanish government. We will participate, not with price, as always, with expensive prices because we see the price of electricity, and I don't see solutions in the short term for price of electricity. And I think that I don't see too much megawatts entered into the system and the price of electricity, not only in Spain, in all Europe, will maintain unfortunately for consumers at a really good level. But in order to answer 2025, is a good mix for us. About capacity. Of course, we are returns capacity beginning of various moving parts, CapEx, of course. About CapEx, OpEx, as aha mentioned, our CapEx is in a good situation, nothing new. The standard situation that in previous quarter reports, we have commented around 0.45, 0.44. And of course, we have some -- we have seen some stability in prices, especially in modules and inverters. I think the bottleneck of -- in China was sold, and we are seeing some improvements on prices for next year, we will see. We are not worried about this because we think that in all cases, CapEx will go down. from construction point of view. As I have mentioned, we are extremely efficient today in the construction process. We are saving money even because on the same side, constructing at the same time, it's like we are extremely efficient on this. Project IRR difficult to say no, because today, as you know, if you sell on a merchant basis, it's difficult to say because merchants are surprising even ourselves. It's in a really good situation. But for the future, we will see. If we see this price of electricity, IRR levels will be extremely good. I'm not going to say a number because with this merchant situation, all numbers could sound strange, if you want. We will see in next quarters.
David Guengant: The next question is coming from Alberto Gandolfi from Goldman Sachs. First question is what is our favourite route for the 6 gigawatts to market, PPA or merchant for the future? What could be the best mix? Second question is at what LCOE do we need to cover equipment cost? And the third question is when we expect to have this 6 gigawatts fully permitted and is legislation regulation changing on permitting.
Arturo Larranaga: Difficult to say no, because PPA or merchant, it's an important proof the tender process of the Spanish government in a few days because as you know, in Spain today, you have a lot of -- I could say I'm going to explain correctly. The correct or not, you have a lot of speculating companies, companies that wants to send a press release to the market. Today, it's stupid to go with a low price on tender process. It's stupid. But who knows? You will see in a few days, the results -- in all cases, Solaria is not going to reduce price. It's not going to be aggressive on prices. If PPA followed a correct way and they respect the situation of the electricity market, obviously, PPA will be a good idea to sign. And it's true that players today, PPA players, serious PPA players, they are able to sign deals with better prices. But for them and for us, it's extremely difficult to fix a price and because -- which is a good price, 50, 55, 60, 45, 48 merchant prices are shaking all the time. Today, we maintain in our mind the idea to go with 80-20, 80 PPA, 20 merchant prices that could be 75, 25. But we need to see the evolution of the market and we will see. About the LCOE price that we need to cover our CapEx is extremely low. Honestly, this is not -- here, we are not discussing today an issue of profitability of IRR levels with really low price of electricity. This is complicated to say on public the number that could cover our cost, but it's extremely low. We could be extremely aggressive from a price point of view, talking about cost. But we are not going to be aggressive from a price point of view -- when we will obtain the full permitting process. Probably on January, February in the results presentation, we will have a strong visibility of an enormous volume of gigawatt and normal volume, it's difficult to say 3 or 3 something covering an important part of our 6 gigawatts with environmental permits and more permits on site. And on the first half on the first half, and I could say that on the 2023, we will have we will obtain more visibility about the other party additional 3 gigawatts. I could say that, for example, in some parts of Spain, [indiscernible] are even in other places. We are obtaining permitting process. We are obtaining the permits extremely fast, and we are optimistic about this on -- we will see. But in order to answer correctly to your question, probably close to 3 gigawatts for February. And then we will add additional 3 was during 2023 or 2023, I could say.
David Guengant: The next question is coming from Jorge Mares from JB Capital [ph]. First question is regarding PPA. I think we already answered part of it, but maybe one more question is, do we expect new PP announcements in our case in the short term? Second question is on can we make some comment on financing condition related to the last financing, for example? And the third question is regarding that we expect news about asset rotation in Spain.
Arturo Larranaga: PPA, yes, we are negotiating with several PPA players. We have advanced contract terms. And even I think that from a price point of view, we could say that we have an agreement, but we are going to wait to the tender process of the Spanish government, and we will see the results because as I have explained, we are going to participate not with cheap prices, but we will see. We will see the evolution. But yes, we have to negotiate. We have Talk, and we have closed from legal point of view in terms of contract. And yes, we could announce new PPA deals. Financing conditions, yes, interest rate is growing is, as you know. At the same time, price of electricity, remember that a few quarters ago, we signed PPA with price of 30s. Today, we are not talking Here, the key point always is price of electricity. The final price that you are selling your product. And this is the key point in order to define your IRR levels. And at the same time, that interest rate is growing, at the same time, price of electricity has grown more, in my view, I could say that at least we will maintain our IRR levels at least. In some cases, I think that we are going to get really good IRR levels. But the message is, at least, we will maintain our project at levels of 12%. It's a conservative message -- but extremely realistic at least. And to asset rotation, we are working on it. As I have explained, we needed the money. We want to achieve the correct price. We have a comfortable situation, as I have explained. A lot of players wants to enter in this deal. We could give good surprise to the market, but we have a comfortable negotiation position. We could give good through price in all cases. It's what does it mean from a price point of view, we close is because we obtain really good price and conditions because we needed to execute, and we need them to execute with a timing before this day or this order. And we have a really good position and new connection points, new pipeline, new capacity that is going to enter in our business plan great. We are constructing, we are connecting. We are getting really good cash flow generation. It's like, of course, interest from third parties is extremely strong, not only in assets, in assets in pipeline, in the company in whatever because people as we have explained in all the calls the people think that the solution for Europe comes from renewables and especially from solar and image with this. And probably next quarter, this pressure and this idea will earn positions even. And of course, we have a comfortable situation. Yes, we could give good news, but quiet position today for Solara.
David Guengant: The next question is coming from a few analysts from [indiscernible] from Faro [ph] from Redburn, and Andrea [ph] from Berenberg. Can we clarify the time line of the connection of the asset and construction by year-end or by February.
Arturo Larranaga: Of course, we are -- I think I have explained, but theoretically, for example, I have explained that the first part of figure that I have mentioned, San Andres will be connecting the next days, weeks. I can't say exactly the day, but before the end of the year. And we are trying and we are spending efforts in order to connect as much as possible, not for a target or something that we have defined is because, obviously, we connect before, we will obtain more money. And Believe me, we are doing strong efforts in order to connect before the end of the year and before the end of not year -- before the end of November. And we will see. I'm optimistic about this. Yes. An amount of megawatts will enter before the end of this year. And I think that we will explain after to do. Now, I think that it's something that on February's presentation, we will give all the information. Today, we are in the rush, constructing, doing efforts. I think that all the markets, they -- in my view, they don't expect we are going to achieve, they don't expect we are going to connect interesting. But I have explained what I have explained. I have said that probably a part will be connected in the next weeks, and we will see.
David Guengant: Next question is coming from Eduardo Gonzalez [ph] from Banco Santander. Can we provide update on the permitting construction status of Perales [ph]?
Arturo Larranaga: Perales [ph], as you know, because we announced a few weeks ago, not on September, I think. On September, we announced environmental permit of Perales [ph] like it was the final work done in Trio project. And of course, it's the part of Trio that goes with more delay, if you want, from a permitting point of view. Good point is we have achieved and we have get back point, if you want, is something that goes with delay. Hopefully, today, Perales you know, depends on the same line of connection, the same substation that the other parts of Trio is like a general infrastructure point of view, it is something that will be done in the next weeks. And from a construction point of view, we have all the equipment. We have all the modules, equipments. And hopefully, we will start with physic construction with the -- if you want the electrical part in the next weeks. 
David Guengant: Next question is coming from [indiscernible]. Would we consider selling pipeline? And related to this question from Alberto Gandolfi from Goldman Sachs. Given the rise in rates, do you think you can still fund your growth just with incremental debt or some asset rotation? Or do you need something more like, for instance, some equity?
Arturo Larranaga: No, we are not going to sell pipeline never. No, it's not our view. We could attract strategic investors that cool entry with us from the beginning in interesting projects that will add to us not only financial support that it's good that could add to us something special. Obviously, as I have mentioned, we will receive positive answers of new connection points. I think that I'm not telling all the information about these new connection points. I'm not telling all the things that could affect serially the P&L of solar in the next years associated with these new connection points, we are exciting with this. And of course, we could attract partnership or players. And -- but it's still early to say. In next presentations, if we close something or if we close a deal, we will report immediately to the market. Not order to answer currently, we are not going to sell pipeline. We could attract players with minority stakes. They add something special to Solaria, not only financial support and about the future of Solaria. Our intention is to cover with debt as we have mentioned, and to rotate assets, not massive asset rotation because I think it's not necessary, honestly. A company I know that typically in renewables, companies of renewables, they are experts increasing capital all years and allocating bonds or increasing capital. Our philosophies to be extremely efficient on CapEx to try to cover with project finance structure. And of course, we could rotate assets based on financial support, but at the same time, a strategic support players that could add more than money to Solara. And in this point, yes, we could support the growth of the company with debt and asset rotation. 
David Guengant: Next question is coming from Margarita Christiana from Citi and from Faro Janco [ph] from Redburn. If we can give more color on CapEx and evolution of CapEx today in 2023.
Arturo Larranaga: Solaria always is probably the key player from a CapEx perspective. We are one of the most efficient players. And we are demonstrating because as I have mentioned in the previous question, all of our competitors, they increased capital per year, and we need it. I think it's a good answer about CapEx. But our evolution of CapEx, our projection after 20 years because I read a lot of reports, I'll read a lot of information from all the people not talking about the CapEx of solar and Solara has had an experience of 20 years. And we work with a lot of Asian players, no experts in solar cell solar modules. We are space saying technology. My view about technology and the evolution of CapEx is extremely positive. I think that solar will be the one of the most important revolution for the world because solar will be taken from a cost point of view. And it's -- today, we have achieved a really good level. We have less than €0.45 per watt. But I'm completely sure we are going to improve, and we are going to show this number and probably not only Solaria, the global market. But in the next quarters, in order to talk about short term, we think that for 2023, we will see a positive evolution on prices. of modules. We think that the bottleneck, as I have explained, will be solved. And I could say that it was soft, but will be solving even with more capacity from China, and we are optimistic about the evolution of price of modules in the market. But this is short term, that is interesting, probably for the next quarter, but I'm not extremely focused on next quarter. Now I'm extremely focused on next year. For me, like a global investor in Solara, not CEO. As you know, my view is a global view for the field on Solar will be a revolution. CapEx will improve a lot in the next quarters. And today, my view hasn't got sense to discuss if it's better gas, solar renewable because -- at the end of the day, the best technology is solar. But if you add storage capacity, solar will be the king. And nobody is going to ask about what -- which is the way. And one of the questions that I talk usually with European Union, which is the gas oil to depend of third countries out of Europe or the question will be when because the question is solar is the answer.
David Guengant: The next question is coming from Rollon [ph] from Societe Generale. Do we have any additional color on the German market and the plans of solar? And second question is OpEx, OpEx per megawatt, performance evolution due to inflation.
Arturo Larranaga: I think that these new connection points that we have announced are associated with Spain. In Spain, we have a really good position, and we are going to grow more. It's a place that we dominate or we have good position, if you want. But the future growth of Solaria will come from European Union. As you know, Italy, Germany, Portugal in Portugal. We have good position. Italy is growing a lot. In 2023, we will talk a lot about Italy, Italy because we will start with the construction in Italy. And Germany is one of the promising countries for us. We have a local team now working. Like always, we always prefer to develop a first stage developed pipeline, not doing too much noises because -- it's a long-term philosophy. But in Germany, we are growing. It's a complicated country, but I love it. I think that they love solar. They believe in solar, and we want to stay there. And Germany, Italy will give to us a strong good moments, if you want, is the future growth of the company. always organic growth, always with our internal team, first stage development pipeline and the evolution of OpEx. Of course, more megawatts altogether in the same sites same team for doing for executing the maintenance label. It's a basic rule, extremely simple, but it's functioning -- more megawatts allocating the same area, more volume, better cost. If I could say that project IRR is not a fixed photo of the situation. You have done this with this CapEx. Your project is this is not true. Project IRR could be improved even for all assets if you are able to reduce your OpEx. Today, OpEx, it is -- we are executing the OpEx with internal team like all because the philosophy of Solara is to develop all the works with internal team. And the same internal team is supplying services to more megawatts in the same site. This is the general concept of OpEx today. 
David Guengant: And the last question is coming from Victor Peiro from GVC Gaesco [ph]. Solaria and other players are slightly moving from PPAs to market. And the question is how this is compatible with the estimate of future low price during the central day of the day. Do you think this low price is credible during these hours? And are you still skeptical on batteries.
Arturo Larranaga: Difficult to say low price, we will see low prices in the middle of the day or with a lot of solar or not. This is something that, as you know, during the last 4 years, 3 years, I have listened a lot about this, saying solar prices will go to close to 0 -- even I remember a recommendation of a bank saying Arturo in few years, 3 years ago, they recommend sell your company because in 3 years, price of electricity will go to 0 value 0. Generation which will come from Russia, Middle East, but here in Europe, we don't -- we needn't generation; it's an [indiscernible]. Of course, unfortunately, today, we have understood, I think that all the market the European Union market and all the governments, they have understood that generation and energies, not only something strategic could be wiped [ph] and you need to manage internally your energy or you are not going to manage inflation interest rates. At the end of the day, today, interest rates were moved according with inflation and inflation, unfortunately, depend a lot of price of electricity. I don't see this a normal volume of megawatts promising a few years ago, entering on the system. I don't see a normal volume of gigawatts of solar entering altogether at the same hour on the system, unfortunately. Unfortunately, today, we have a crisis around price of electricity, and it's something that we are -- Solaris doing a strong effort in order to try to be part of the solution, but we need more people and more gigawatts. It's still too early to say that at 3:00 in the afternoon, you will see price of electricity of storage. I'm not changing my mind. I think that I have talked a lot with European Union about this. It's like hydrogen and other technologies. Hydrogen leaves and iron will grow because we are going to receive a strong support from European Union based on hydrogen technology. Along the hydrogen technology is not going to survive because it's not efficient. Today, in our mind, storage depends on support of European Union. One of the message, and I will travel to Brussels next week, not one of the message that I'm discussing with European Union is that if they want to develop serially own energy inside Europe, they need to develop storage. They need to allocate funds that we will use on a storage basis, not because we are going to improve price, not because we are going to improve price from 3:00 in the afternoon to 9:00 is because we need to give global solution to consumers -- and solar could be a global solution for the consumers -- storage is part of the solution. And my intention and in all of our discussions with European Union, one of the key points is usual support the growth of storage in Europe in order to give global solution to consumers associated with solar. It's good to support hydrogen, great idea, but don't spend more money in gas technologies from out office Europe from foreign countries, sometimes not extremely friendly with European Union. I think it's not a good idea you have seen, try to spend efforts in your own technology. 
David Guengant: The last question coming from Emmanuel Palomo from BNP, and also related to other analyst question regarding permitting. Permitting seems to be a key bottleneck for the industry. Our governments taken already an efficient measure to really speed up renewable installation. And maybe for this question -- other question from the rumor of a new EU regulation that could be approved in the coming weeks in Europe.
Arturo Larranaga: About this, it's true that the European Union has a draft associated with some improvements in environmental permits that could shop the bottleneck on the permitting side. As I mentioned, I will travel next week to Brussels and to European Union in order to see details. And -- we have discussed a lot with them during last month. And of course, they have understood that if they want to install massively solar, if they want to find serious solutions for the energetic problem of European Union, they need to approve something that could support the fast track, if you want, on the permitting side. And -- but we will see. I know that they have a draft, but we will see. In all cases, we need to live with the actual situation. In the actual situation, I think that with delays and you know the situation during the last 3 years with delays, but we are achieving our targets, and we are extremely optimistic about our global target of 2025 and global target of 2030. And I think that with the actual situation, we are living and we are obtaining results. But obviously, all kind of support will be more than appreciated. And the European Union, I know that they will approve something in the next weeks. And because it's public, it was an announcement don't a few weeks ago or a few days ago. And we are discussing with European authorities about the details of this new law. And we will see because it is new law. It's it should be, not sure we must be accomplished by all the countries of European Union and -- but we will see. 
David Guengant: So, thank you. Thank you very much to everybody. And thank you, Arturo, and thank you to all of us for being part of this conference call. As you know, you can always contact us if you have some more questions, and we'll be more than happy to answer to all of you. I don't know if Arturo -- maybe you have a last one.
Arturo Larranaga: Thank you very much for the call and your attention like always. And we are living, I think that a really good moment for solar next years will be great, as I have explained for solar, and we are now, you know that I talk not like CEO of the company, I told you usually like investor of the company. And we are extremely exciting with the future of the company. I think that all the bad news are part of the past history of solar. In the future, we will see a lot of really good news -- thank you for your attention and all the questions that you will have. You know, that our Investor Relations Department and David is always ready not to answer and to explain. Thank you very much.